Operator: All participants, thank you for standing by, your conference is ready to begin. Good morning and welcome to the Gibson Energy 2014 Fourth Quarter and Year-End Results Conference Call. During today’s call, forward-looking statements may be made. These statements relate to future events or the company’s future performance and will use words such as expect, should, estimate, forecast, believe, or similar terms. Forward-looking statements speak only as of today’s date and undue reliance should not be placed on them as they are subject to risk and uncertainties, which could cause actual results to differ materially from those described in such statements. The company assumes no obligation to update any forward-looking statements made in today’s call. Any reference during today’s call, to non-GAAP financial measures such as EBITDA, adjusted EBITDA, pro forma adjusted EBITDA, or distributable cash flow is a reference to financial measures, excluding the effect of certain items that would impact comparability. For further information on forward-looking statements or non-GAAP financial measures used in Gibson, please refer to the 2014 fourth quarter event Management Discussion and Analysis issued yesterday by the company, and in particular the sections entitled Forward-Looking Statements and Non-GAAP Financial Measures. All financial amounts mentioned in today’s call are in Canadian dollars unless otherwise stated. I will now turn the call over to Tammi Price, Vice President of Investor Relations and Corporate Development. Please go ahead.
Tammi Price: Thank you, Rick and thanks everyone for joining us this morning. Joining me on the call today are Stewart Hanlon, President and CEO and Don Fowlis, Chief Financial Officer. The format for the call will be that Stew will provide an overview of our results and Don will highlight a few items regarding our financial position and capital spending. This will be followed by a question-and-answer session. Cam Deller, our Manager, Investor Relations and I will be available after the call to answer analyst’s modeling questions. With that, I’ll turn it over to Stew.
A. Stewart Hanlon: Thanks Tammi and good morning everyone. I am pleased with our strong fourth quarter results which contributed another record year for Gibson in 2014 resulting in annual adjusted EBITDA of $453.1 million. Highlights of the fourth quarter included generation of record fourth quarter segment profit of 129.5 million and the successful completion and progression of several key growth initiatives. Key contributions to year-over-year segment profit growth in the fourth quarter were 36% increase in Terminals and Pipelines, a 25% increase in Environmental Services, and 9% increase in Processing and Wellsite Fluids. I will now discuss the individual segment profits in more detail. We achieved record quarterly segment profit in our Terminals and Pipelines business with $34 million generated in fourth quarter. As I noted earlier, this achievement represents a 36% increase over the same period in 2013 and also represents an approximate 70% increase over the same period in 2012 when we initially began to expand storage capacity at our Hardisty terminal. A noticeable accomplishment in the quarter was the successful commissioning of the first two new tanks associated with multiyear expansion for our Houston lands at Hardisty. Additionally the Hardisty unit train facility achieved full run rate EBITDA levels in the fourth quarter which benefited our financial performance as shipper commitments contributed take or pay cash flow to the segment. Assisted by these accomplishments, Hardisty Terminal volumes increased by 38% in the fourth quarter over the same period in 2013 and achieved a company record averaging approximately 580,000 barrels per day. I am pleased to announce the successful commissioning of another 400,000 barrel tanks at Hardisty which was put into service in February 2015 subsequent to the fourth quarter. This development brings Gibson’s total storage capacity at the Hardisty Terminal to 5.5 million barrels. Total new storage capacity under development of the Hardisty Terminal is now 1.6 million barrels and we expect to commission our next 500,000 barrel tanks in the coming weeks. Another accomplishment subsequent into the fourth quarter was the successful completion of our project to enhance connectivity to the recently twinning Cold Lake pipeline at Hardisty. Both of these projects were delivered on time and on budget and both are underpinned by long-term contracts with key credit worthy customers. Taking these developments into consideration we expect to see strong segment profit growth in our terminals and pipelines business in 2015. Other projects underway in this segment include a single tank plus rail loading facility for Statoil at Edmonton and another connectivity enhancement project related to the twinning of the Athabasca pipeline at Hardisty both of which are progressing according to plans. Our efforts to develop Phase 2 of the Hardisty unit train project which involves a doubling of loading capacity to 240,000 barrels a day continue. But given the current level of crude oil prices many of our customers have delayed decision making type -- decision making on these types of commitment as they focus on near-term financial matters. Our Environmental Services business also achieved record fourth quarter segment profit with $28.1 million generated in the fourth quarter. These results represent a 25% year-over-year increase in segment profit and growth being driven by increased demand for fluid disposal services in key U.S. basins and by increased volumes being processed at our Canadian processing, recovery, and disposal or PRD facilities. Our key accomplishment in the fourth quarter was the successful commissioning of our newest PRD facility located in Williston, North Dakota. This facility is well located, offers modern processing technologies, and establishes Gibson as a full service waste provider in the U.S. Balkan type oil play. This facility is co-located with a licensed landfill which we commissioned earlier in 2014. Both of these will continue and contribute to our efforts to shift the profile of our Environmental Services business towards more stable production related revenue sources. With approximately 40% of segment profit currently exposed to drilling and development related activities, which is largely weighted to our U.S. operations, our Environmental Services business can be expected to show some weakness if oil prices remain at today’s levels. To offset this we will continue to focus on the build out of PRD infrastructure in Canada in 2015, with four projects underway relating to the expansion or upgrade of existing facilities. Additionally, we have approximately $30 million of capital allocated in 2015 for similar facilities at new locations in the U.S. However, this capital is flexible and we will be evaluating as the year progresses in light of expected decline in activity levels in the U.S. shale place. Segment profit in truck transportation was $22.7 million in the fourth quarter of 2014 contributing to an annual segment profit of 83.2 million. Fourth quarter volumes declined by 6% over the same period in 2013 owing to reduced volumes in specific markets within our U.S. business. Despite the negative volume impact, segment profit remains healthy with an increased rates for spot hauling activities and in increased service related charges that drove a 14% gain in revenue per barrel. Now if current crude prices prevail for the remainder of 2015 and we begin to see production declines as a result of lower drilling activity, we can expect to see a modest reduction in segment profit for this business. Segment profit in our Processing and Wellsite Fluids business was $14.8 million in the fourth quarter, representing a 9% increase over the same period in 2013. Our fourth quarter results for this segment are highlighted by a 6% increase in volume throughput and 3% gain in gross margin per barrel. Both of which reflect the flexible nature of our operations and the growth initiatives undertaken in the year. The expansion of the rail loading capacity of the facility is well underway and will be paid for by the transportation cost savings we expect to realize by displacing higher cost alternatives for certain of our products. The approximate $15 million expansion for our processing capacity at this facility that is scheduled for later in 2015 is flexible capital and we will be evaluating again in light of market conditions as we progress through the year. Our outlook for this segment incorporates an expectation for reduced Wellsite Fluids demand given the decline in drilling -- in active drilling rigs which we have witnessed to date in 2015. Our propane and NGL marketing and distribution segment delivered $15.5 million of segment profit in the fourth quarter down approximately 33% over the same period in 2013. Notwithstanding the impact of unseasonably warm weather in Western Canada, we remained pleased with the contributions from the Cal-Gas and Stittco acquisitions we completed in 2014. These acquisitions enabled us to increase industrial wholesale -- industrial propane volumes by 69% in the fourth quarter of 2014. Now, unfortunately our wholesale propane business did not benefit from the similar volumetric tailwinds and in a low demand environment we witnessed in the fourth quarter posted only modest segment profit contribution. Furthermore our wholesale NGL business was negatively impacted in the quarter by unfavorable pricing conditions. With warmer than average weather in Western Canada continuing into the first quarter of 2015 we expect to see ongoing challenges. Our marketing segment generated $14.3 million in the fourth quarter contributing to full year results of $65.2 million. Our fourth quarter marketing results were roughly in line with the prior two quarters reflecting the industry conditions that continued to be characterized by narrow and less volatile oil price differentials. But that being said, marketing activities in the fourth quarter were highlighted by a 5% year-over-year volume growth as this business successfully drove incremental crude oil and condensate volumes for the company's other business segments thereby continuing our objective to maximize asset utilization. Looking into the first quarter of 2015, despite encountering muted market opportunities for margin enhancement we remained committed to our internal asset optimization activities while seeking to provide the effective net back solutions to our customers. Now, at this point I would like to turn our focus towards Gibson's capital expenditures in the fourth quarter. We spent $101 million on growth capital and $20 million on maintenance capital in the fourth quarter contributing to annual 2014 growth spending of $352 million and maintenance spending of $59 million. Total growth capital was 94% of our original guidance with the nominal shortfall being primarily due to the delays in timeline of the Athabasca pipeline twinning project resulting in a concurrent delay in our associated activity enhancements, coupled with the expenditure timing differences related to several minor projects in Environmental Services which moved related capital from 2014 to 2015. Fourth quarter growth capital expenditures were primarily directed towards the following key initiatives. The storage tank expansion project on the East side of the Hardisty terminal, the Cold Lake and Athabasca pipeline connectivity enhancement projects at Hardisty, the Edmonton Statoil tank and the expansion of related infrastructure, the Edmonton terminal storage optimization project, and the additional saltwater disposal and landfill facilities and the addition of new and expanded -- and the expansion of existing treating facilities in both Canada and the U.S. Now owning to the relatively lengthy development timelines associated with these projects, a large portion of the growth capital spending for 2015 as well as a portion of the 2016 capital is already underway. Of the $435 million in growth spending capital plans for 2015, approximately 65% relates to projects that are currently underway or 2016 capital plans incorporate 25% for projects under construction or committed under long-term contracts. We expect to have greater visibility to the remaining uncommitted capital spending as we progressed further into 2015. While the recent oil price decline will no doubt have negative impacts on our customer's cash flows and the reinvestment profiles, the majority of our current and planned capital projects are or will be underpinned by development projects to span multiple years into the future. Recent industry decisions to maintain spending on these types of projects provide us with an outlook that would indicate that plans are still intact for an additional 1.1 million barrels of production to come on stream from the oil sands between 2014 and 2019. In the interim, Gibson is relatively well insulated in this environment due to our ability to provide internal demand for many of the services we provide through our integrated business model. We also look forward to applying our entrepreneurial skills and infrastructure asset base to continue to solve logistics and midstream problems for our customers. So in summary, the fourth quarter of 2014 was very successful and contributed to the strongest annual results in our company's history. And despite the headwinds related to the current oil price environment, we are well positioned and are enthusiastic as we work to execute on our counter plans and operational plans for 2015. I will now pass it over to Don, who will discuss our financial position. Mr. Fowlis. 
Donald A. Fowlis: Alright, thanks Stew. I am pleased to report that Gibson retains a very healthy balance sheet with ample liquidity and relatively low leverage. We are well positioned to capture opportunities that may come available during the cyclical downturn. At year-end we had 132 million of cash and 442 million available under our $500 million revolving credit facility. This facility carries an August 2019 renewal date. Our debt-to-debt plus capital ratio was 41%, our leverage ratio was 2.2 times, and our interest coverage ratio was 6.7 times. The company declared dividends of 149 million in 2014 and distributable cash flow for the year was 265 million resulting in a gross dividend payout ratio of 56%. On a net cash basis after considering our DRIP participation level, the net dividend payout ratio was only 42%. As announced yesterday, our Board of Directors approved a 7% increase in the company’s quarterly dividend raising it to $0.32 per common share. This decision was based on our confidence in both the quantum and the composition of our estimated mid to long-term future distributable cash flows. As Stew mentioned earlier we continued to have good visibility with regard to capital spending levels in 2015. This is due to the large portion that relates to growth projects that are currently underway and are under long-term contracts. Given the current environment though, we will evaluate commencing capital projects with additional rigor. However at this point our previously announced capital guidance for 2015 is unchanged. In addition at this time we do not expect any significant delays or significant cost overruns for any of our announced infrastructure projects. We plan to provide a more detailed update to our capital spending guidance concurrent with the release for a second quarter results. That concludes my comments, so I will turn it back to Stew. 
A. Stewart Hanlon: Thanks very much Don. So in conclusion 2014 was a year of record accomplishments for Gibson, having successfully commissioned 800,000 barrels of fee earning storage assets, a Hardisty unit train facility, and our new Balkan PRD and landfill, as well as closing two meaningful propane acquisitions. These accomplishments have served to strengthen Gibson’s cash flow profile as illustrated by an increase in our fee for service revenue model profiling a 66% versus 62% at the beginning of the year. We look forward to further strengthening our cash flow in 2015 and 2016 based on growth capital spending plans we have in place. Notwithstanding the extreme compression in oil prices over the past six months, our outlook for Gibson remains very positive. We remain confident in our ability to continue to provide customer solutions that also deliver long-term growth and attractive shareholder returns. That concludes our prepared comments, operator at this time we’d like to open the call up for questions. 
Operator: [Operator Instructions]. And the first question is from Linda Ezergailis from T.D. Securities. Please go ahead. Your line is open. 
Linda Ezergailis: Thank you good morning. 
A. Stewart Hanlon: Good morning.
Linda Ezergailis: I have a quick question for Don on your taxes, can you maybe gives us a sense of what sort of cash tax rate or cash tax level you’re thinking of or expect for 2015 and 2016?
Donald A. Fowlis: What we’re looking at is really on an earnings before tax basis in 2015, somewhere between the 30% to 35% zone. And similar to 2014, we don’t anticipate any big increases in 2015. As we move forward in 2016 and 2017 we will see somewhat of a reduction in the overall current taxes in Canada. But that could be offset by an increase in current tax ability in the United States. And so it should remain flat overall though. 
Linda Ezergailis: That’s very helpful, thank you. And maybe this is a question for Stew, what sort of pricing concessions or pressure are you being approached for by your customers and you still standing hard or do you see any changes to that dynamic overtime?
A. Stewart Hanlon: We really haven’t seen a tremendous change in the dynamic versus what we are experiencing in the fourth quarter. The typical ask is for us is somewhere in the 10% to 15% range. We are not in a position where we have margins that are wide enough that we can just sort of roll over and do that. And so these requests take the form of an opportunity really that we see for engagement with our customers. And so we’ll sit down with our customers and look for opportunities to expand the book of business that we have with them either in an associated business plan that we carry or maybe an expansion of the overall business activity within the business plan that we are talking about. So, I would say we got customer and if they want a 15% reduction in a certain area for truck transportation, we will look for opportunities then to maybe bring those barrels to our either dry terminals or PRD facilities. We will look for an opportunity to maybe market those barrels to provide related propane services, that sort of thing. And so overall we expect to see some margin compression in our Terminals business. We have seen some modest margin compression in our propane business but it is really not sort of an acceleration of the same over the levels that we were experiencing in the fourth quarter of 2014. 
Linda Ezergailis: That's helpful. Now, is there any silver lining to all of this, are you seeing any cost relief either on the operating or the capital side, or do you expect to see maybe a bit more assets being shed by or financial distress in smaller companies allowing for further consolidation?
A. Stewart Hanlon: Yeah, certainly we are looking at all of those situations as being opportunities, Linda. We have taken the same approach to our service providers as our customers have taken with us asking for concessions with respect to pricing and modifications in terms of service levels that sort of thing. We expect that as we see costs come out of the industry which is really what happens during these downtime cycles, we will be able to negotiate better pricing and then probably more certainty around pricing for our large capital projects which will be helpful. And we haven’t seen what I would call capitulation yet with respect to companies being willing to either shed assets or put themselves up for sales outright. But certainly as we progressed deeper into this cycle, those are opportunities that we can look forward to and take advantage of. As Don highlighted, we are in an extremely strong position with respect to our balance sheet and maintain a fair degree of financial flexibility, so we certainly will be looking to take advantage. 
Linda Ezergailis: Thank you. 
Operator: Thank you. The next question is from David Noseworthy with CIBC. Please go ahead. Your line is open. 
David Noseworthy: Hey, good morning. Maybe just one of the industry concerns regarding oil price in North America is what seems to be pending sealing of Cushing, if Cushing were to fill up, can you give us an idea of what the impact would be to your Trucking business, Environmental business, and potentially to your Terminal business if you expect any backup in that?
A. Stewart Hanlon: We don’t have a lot of directly related activities around Cushing and that we don’t have a storage position and that sort of thing. I think to the extent that Cushing may start to fill up and gi9ve some estimates how to sort of 90% capacity by perhaps mid-April or something like that. That obviously has an impact in terms of the level of contango in the forward terms and which probably shows the market in some form of disarray. I think upstream of Cushing and certainly both Edmonton and Hardisty are upstream of Cushing than the value of tankage and the value of optionality becomes certainly enhanced. And so, we would expect that we will benefit because we can offer customers multiple avenues to get to different markets downstream of both of those areas at Hardisty and Edmonton including the unit train facility, that sort of thing. Impact on trucking will be diminimus because really the trucking business is the first sort of formal transportation from the point of production to the initiating point in the major pipeline infrastructure within North America. And so, we may see some barrels changing direction and moving away from pipes that they otherwise would have gone into and going into different pipes so that they can get to different markets. But we wouldn't expect that to be a diminishment in terms of pricing, in terms of our trucking business. And our propane business is completely unrelated to anything related to Cushing. So we wouldn’t expect any impact there. 
David Noseworthy: Sorry, I was thinking in trucking there might be an opportunity to get your trucks down there, to get stuff out of Cushing, is that not something that you will be able to take advantage of?
A. Stewart Hanlon: That typically wouldn’t be the way that volumes would move or trucking would move from like I said the point of production into either a gathering pipeline system or into a mainline pipeline system. And so the barrels upstream of Hardisty will -- sorry, upstream of Cushing would be moving in different directions. But, I can't foresee any large scale movement of trucking -- of trucked barrels out of Cushing though. 
David Noseworthy: So, nothing like we saw a couple of year or two ago when we saw volumes going between Cushing in the Gulf Coast?
A. Stewart Hanlon: No, I wouldn’t expect that in any material way. There is this -- lots of pipeline connectivity ex-Cushing and certainly if the barrels were wanting to move to the U.S. Gulf Coast that’s the way they would move.
David Noseworthy: Okay and maybe just turning to opportunities you’re seeing for M&A in the Environmental Services segment, what are you seeing today?
A. Stewart Hanlon: As I sort of mentioned to Linda we haven’t seen a huge level of capitalization at this point in time. And we’re really being pretty cautious in this environment with respect to wanting to make sure that we do time acquisitions if any relative to where we see the cycle and the duration of the cycle, I guess is probably the best way to put it. So we continue to have a number of smaller opportunities on a radar screen as is our habit and we continue to make evaluations. We did pull the trigger on the small trucking acquisition in the fourth quarter of 2014. I would expect that we would be probably in the latter part of the first or maybe into the second quarter before we would start to really take care active consideration in terms of the M&A space. 
David Noseworthy: Okay and can you comment on Trovita [ph] recent sale, the U.S. operations, is this the sort of asset Gibson is interested in and what do you think of the valuation?
A. Stewart Hanlon: Great question. We obviously would be interested in assets of that nature and because we are in the industry, those are assets that we certainly would have had a look at. I thought the valuation was fair but certainly reasonably robust and I think that gives us certainly a lot more comfort around the value of the business that we have. I like our positioning and our asset based in the United States and so to the extent that Trovita [ph] was able to sell those assets for the price that they did, I think that provides a very solid underpinning for the value of our business.
David Noseworthy: Fair enough and then maybe just last related to that, can you discuss your thinking regarding growth capital in light of potentially increased acquisition opportunities. Is there a situation where you might pull back on your organic growth North -- acquisitions or is there no need to ration capital and therefore everything meets a whole rate you execute on?
A. Stewart Hanlon: Certainly we would as Don said, we are going to be approaching every investment opportunity with a certain amount of rigor particularly in this environment. To date we haven’t talked about needing to ration capital or to keep our powder dry so to speak with respect to wanting to leave ourselves open to execute on an acquisition versus an organic growth opportunity. The organic growth opportunities that present themselves that we otherwise would invest in, we are going to invest in those opportunities. We have ample liquidity, we have ample room on our balance sheet to fund anything that we can reasonably foresee on the horizon and so at this point in time we are sort of looking for business.
David Noseworthy: Perfect, thank you very much. Those were my questions.
Operator: Thank you. The next question is from Rob Hope from Macquarie. Please go ahead. Your line is open.
Robert Hope: Good morning. Maybe just as a follow up you had mentioned about compression that you are seeing on fees, are you seeing any increased declines in volumes in any of our business yet?
A. Stewart Hanlon: We are starting to see some small scale reduction in some of the more high cost areas I guess is probably the best way to put it. Nothing really material thus far, but we are hearing reports of certain companies shutting and certain wells where the water cut might be particularly high, that sort of thing. That sort of following exactly the same pattern as we saw in 2008 and 2009 and so it’s not surprising. That’s going to be the pattern as we go through probably the first two quarters and to the extent we -- the industry consensus is correct and we start to see return to a more normal pricing levels as we go into the back half and those wells will get put back on to production. Typically what happens is customers will look at the higher cost of production and shut those wells in the first -- to the extent that you have a low economic well if you will that goes down. You are going to be more hesitant with the service rig, that sort of thing. But like I said so far we haven’t seen anything that would have a material impact on us. 
Robert Hope: Alright, great and then maybe just as a follow-up, if I remember correctly at your Investor Day you said if oil was kind of low for longer you could see a 10% to 15% cut in your margin for trucking and environmental services, is that still the ballpark you are looking at?
A. Stewart Hanlon: That sort of history would indicate. I think we said sort of 10% to 15% for trucking. So to the extent that our Environmental Services business is somewhat more exposed to the rate count that maybe in the 15% plus range, that sort of thing. But, we will see how the first couple of quarters play out. 
Robert Hope: Alright, then just one quick question, the Littlehawk acquisition is described as kind of hydrovac business, is this more trucking or are you looking to get into hydrovacs?
A. Stewart Hanlon: This Littlehawk is really strategic opportunity for us. It is a business where we were actually one of the biggest customers for that company. And so this wasn’t internalization of fair bit of demand that we have for the business internally. It also fits very nicely with Southeast Saskatchewan business and it fits very nicely with Environmental Services businesses that we have down there. Hydrovac trucks and proper trucks that sort of thing. Typically feed processing reclamations and disposal facilities and so it is very synergistic for us in that respect. We wouldn’t shy away from doing other investments of that nature but they will be sort of similar in scope and scale. And will be in areas where we can take advantage of that synergy. 
Robert Hope: Alright, great, thank you. 
Operator: Thank you. The next question is from Carl Kirst from BMO Capital Markets. Please go ahead. Your line is open. 
Carl Kirst: Thank you. Good morning everybody. Maybe sticking with the CAPEX theme for a second, as we look at 2015 and I guess notwithstanding the 435 we talked about 60% sort of under construction, we generally have been thinking about maybe downside risk of 400, just simply on the two PRDs in the U.S. and I guess one, wanted to confirm that the downside risk is just really on the PRD issues? And then two, and granted it is early days but as you have mentioned, you had one kind of get commissioned here in December in the Balkan and I am just curious how that is performing here in the early days and if that is essentially the guiding factor, if that is what you are looking at as far as whether or not you move forward in the next two?
Donald A. Fowlis: Good questions Carl, thanks. We had -- I think indicated in the formal remarks that the $30 million or so in the Environmental Services space that was earmarked for the two remaining PRDs in the U.S. is capital that we will evaluate as we go through the year. I think I also mentioned that the capital related to potential expansion of our Moose Jaw facilities is again what we would call flexible capital. So, those two areas are really where we would look at deferral if it makes some sense. With respect to the PRD in the Balkan specifically, it is performing exactly according to plan so we are very pleased with the construction and the commissioning of it and the level of business that we are seeing there thus far. Not really a guiding situation as much as just an indication that we did set the facility very carefully and we thought fairly carefully about the overall level of business and sustainability there off before we made the investment decision. And that is really the lens and filter through which we will put investment decisions for the next two. 
Carl Kirst: Okay, that is helpful, thank you. And then one other just sort of trying to get more color on the propane performance in the fourth quarter and I guess what I am trying to better tease out and I am not sure if this is something -- go down or not but if maybe we can look at how much did Cal-Gas and Stittco add to the fourth quarter, I was trying to get a sense of really what was the wholesale decline for instance year-over-year and how much of that was due to say for instance just the fourth quarter pricing environment versus, I don’t want to necessarily say structural but to the extent that you had a lot of retail propane guys get burned in the winter last year, went into winter much more stocked up have supposedly learned their lesson. Maybe less margins on wholesale going forward, just trying to get a better sense of that?
A. Stewart Hanlon: The post Cal-Gas and Stittco acquisitions gave us exactly the profitability that we had forecasted at the time that we made the acquisitions. And so, -- had nothing to do with that. Obviously we had a very, very warm fourth quarter which didn’t impact retail volumes to a certain extent. Having said that, the mix was almost entirely attributable to the wholesale propane business and that was just strictly volumetric. I don’t think you can read anything structural into it. We did see some switching activity in the fourth quarter 2013 and first quarter of 2014. But again not anything that would have a material impact on us. We were also impacted somewhat with respect to wholesale margin and compression as well in a rapidly falling price environment as we saw in 2014 -- in the fourth quarter of 2014. Our margins on the wholesale side did get compressed somewhat but for the most part it was strictly volumetric. I think we are up 34% volumetrically fourth quarter of 2013 over fourth quarter of 2014.
Carl Kirst: Okay, thank you. 
Operator: Thank you. The next question is from Robert Catellier from GMP Securities. Please go ahead. Your line is open. 
Robert Catellier: Hi, good morning. You have gotten most of my questions but I did want to drill down little bit on the hydrovac business. It reminds me a little bit of what happen if the Environmental Services where you started with a small investment in Palko and then it turned into a much larger platform. So I wondered if you can sort of talk to the possibility of your investment in hydrovac, maybe increasing what degree you can see there and if it has any chance at all of developing into something the nature of the Environmental Services business?
A. Stewart Hanlon: We have no intention of taking over the hydrovac world. I would suggest that like I said earlier we wouldn’t shy away from making similar investments in terms of scope and scale. But only in those areas where it would be complementary to our existing Environmental Services business. The hydrovac business is like I said a little hot business fit very, very nicely because it helps us because we can just internalize some of our own demand and because it's particularly well situated around some existing PRDs within Canada. We would look for a similar opportunity but our intention is not to build out a very large platform similar to our Environmental Services business. 
Robert Catellier: Okay and then just with respect to your comments on the capital spending, as I would have expect it’s going to remain prudent and vigilant with the money you are spending but the message we’ve had previously, Investor Relations Day and other forms is you’re still willing to invest capital in the counter cyclical matter maintaining usual discipline, is that still the case then?
A. Stewart Hanlon: Absolutely, we view this down turn as obviously something that’s not comfortable for anybody in the business but it does present opportunities and one of the reasons that we have been so conservative with respect to the management of our balance sheet, our payout ratio, etc. is because we want to make sure that we are in a situation where we’ve got sufficient flexibility, liquidity, and financial strength to take advantage. And so to the extent that opportunities present themselves in this market place we are ready to go. 
Robert Catellier: Great and my final question here has to do with the maintenance capital spending, some of the more capital intensive business like trucking for example maybe experienced a slow down with industry activity, how would you describe the degree of flexibility you had with the maintenance capital spending budget?
A. Stewart Hanlon: Its high but we are certainly not going to turn down our maintenance CAPEX in any way that would harm the long-term viability of our business. You are exactly right, to the extent that we do see some decline in activity levels within our trucking business and that would include the rolling stock of services of our Environmental Services business as well. And we do have any opportunity to just slow down the reinvestment in depleting assets if you will in that area. So if we have got $75 million CAPEX budget for 2015 we probably have flexibility around up to 25% of that amount to the extent that we want to defer things. 
Robert Catellier: Okay, thanks very much. 
A. Stewart Hanlon: Alright. 
Operator: Thank you. The next question is from Robert Kwan from RBC Capital Markets. Please go ahead. Your line is open. 
Robert Kwan: Great, good morning. Just as you guys are looking out at the oil sands projects there is a number that continue to be under construction over the next two to three years. Just wondering do you have an estimate of future production volumes that don’t have a home yet in terms of tankage for a takeaway capacity as we think about what the discussions might evolve to on a rail expansion?
A. Stewart Hanlon: The way we think about that, and I think we mentioned this in the prepared remarks. We are still looking at Cap forecast and others would call for approximately 1 million or maybe 1.1 million a day in terms of future growth over the next five year timeframe. Coming out of the oil sands and that is related to the projects that are really under construction today. And we haven’t seen any major deferral or defunding decisions with respect to those projects. So, absent West Coast takeaway, so I must somehow Northern gateway gets built or Kinder Morgan is successful with their TMS expansion, so all those barrels need to come first to Edmonton and then to Hardisty or directly to Hardisty. So, to in a roundabout way answer your question, there will be a need and necessity to handle potentially up to a million barrels a day of incremental throughput. You add Hardisty over the next five years. I think I had mentioned in the script, we did about 580,000 barrels a day through our infrastructure in the fourth quarter that’s where we are utilizing sort of 5.5 million barrels of tankage. And so if you think 10 to 1 is the ratio, that would sort of suggest that you are going to need another 1 million barrels or 10 million of tankerage within the Hardisty complex. And so I don’t know that all those barrels don’t have a home yet, but certainly some of those barrels don’t have a home and that certainly gives us the level of confidence that we have that we are going to continue to be able to invest very accretively over the long-term at both Edmonton and Hardisty. 
Robert Kwan: Stew, I guess would you hazard a guess what percentage of those kind of 10 million barrels of tankage might not have a home, I guess I am just trying to get a sense of even though commodity prices slowed down, there is probably a pretty good opportunity given the line of sight of just what is coming in and is under construction?
A. Stewart Hanlon: Yeah, we certainly would agree that there is a tremendous opportunity in front of us still. The Hardisty complex is reasonably well utilized at this point in time and so I would suggest that, that extra 10 million barrels of tankage over the next five years will need to get built at Hardisty. I am certainly not going to sit here and say that we are going to be able to grab all of that business but we think we have a got a particularly advanced business model there in terms of our connectivity and the optionality that we provide. We are still very confident that in the medium term we are going to be reaching a funding decision with respect to the expansion of our rail facility that will require the construction of additional tankage, etc. So, I guess to follow-on I can say that we continue to have very constructive and fruitful discussions with shippers that are going to require additional infrastructure at the Hardisty complex and at Edmonton and we are very confident that we will be making announcements in the future with respect to additional infrastructure. 
Robert Kwan: That's great. And if I can maybe just then turn to the dividend, you have got 50% to 60% payout ratio targets, just wondering was the new dividend size to fit into that range if there is a temporary kind of downturn here, i.e. what is your comfort of exceeding the high end of the range temporarily in the downside case/bottom of the cycle for some of your segments?
Donald A. Fowlis: Yes, we have I think been fairly sort of consistent in saying that the 50% to 60% payout ratio range is over the medium term. Certainly to the extent that we do see a severe downturn in terms of activity levels, compressions and margins, etc. Would we be comfortable if we were outside of that range on a temporary basis, the answer is, yes. Like I said we have got a very, very strong balance sheet and even to the extent we were above the 60% repair ratio range for a short period of time in 2015. That still is a very, very conservative payout ratio in our view. It allows us to retain the flexibility around continuing to invest in the business, that sort of thing. As Don mentioned, on a post DRIP basis, our payout ratio was only 42% as well. And so on cash on tax basis, we don’t feel that the raise in the dividend is going to place us at any risk whatsoever. 
Robert Kwan: Appreciate it, great, thank you very much. 
Operator: Thank you. The next question is from Steven Paget from First Energy. Please go ahead. Your line is open. 
Steven Paget: Stew, Don, and Tammi good morning. We can see crude-by-rail grow rapidly, it seems to be needed to take the incremental barrels out of Western Canada. But if pipelines are approved, crude-by-rail volumes could come back down quickly. Could Gibson make money off crude-by-rail growth within winding up or stranded assets of pipelines are built. 
A. Stewart Hanlon: Yes, I think we’ve said before that we really like our positioning at Hardisty with respect to building our major crude-by-rail asset in that market. Our view point is that a barrel of crude oil on a rail car is just a long haul version of a barrel of crude oil on a truck. And so to the extent that you have got every grade of crude oil that’s produced in Western Canada showing up at Hardisty everyday, there is always going to be a market open that says that, that particular barrel wants to go to a specific market that you can’t get to via pipe at least very easily. So that’s advantage number one. And we are not smart enough to know exactly what markets going to be open three years from today but we are confident enough because of our history moving specific barrels to specific markets over the last four or five decades. We are confident enough that those markets will exist. So that is sort of real advantage number one. Real advantage number two is quality and making sure that you don’t have the degradation of quality of crude oils as they move through the major export pipeline systems, over tankage, breaker tankers downstream of Hardisty as an example. Having kind of contamination and degradation at the interface between different commodity types, that sort of thing, and that's an important consideration for certain refiners that want to have a specific quality of barrel that they can run on a consistent basis through the facilities. And then the third value for crude-by-rail is time and certainly it's less of an advantage in a 50 crude oil environment but you can imagine the working capital that a major shipper would have tied up in terms of working stock in an excellent pipeline system. And so if you can get a barrel to market in 14 days versus 45 days which is the advantage that you have rail over pipe, that gives you a very significant rail capital reduction as well which is important. And I think part of the value consideration that we have. So all of those things say that you have to build your facilities very thoughtfully and in the right market locations and certainly we think that Hardisty is one of the most advantaged locations in North America. So the very short answer to a very long answer is that no, we don’t expect that we are going to have 200 facilities. 
Steven Paget: Oh excellent, thank you Stew. What are the factors that influence your cost of water disposal and that are power cost a material factor and could give some hedge fees?
A. Stewart Hanlon: Anytime you are running a pump you are burning electricity. We have obviously a fairly high demand for power but our major crude oil facilities as well as in all of our PRDs. We do hedge our power and try and match our forward cost to sort of a long-term plans. And so we don’t expect any kind of volatility with respect to our operating cost.
Steven Paget: Thank you Stew. Final question if I may, at your Investor Day you talked about getting in the quantum fleet trade or quantum feet terminalling in the Edmonton region as many others have, knowing that there is lot of condensate moving. Have you made any further progress there?
A. Stewart Hanlon: We continue to work with shippers that have an interest around infrastructure in the Edmonton area. We do a fair bit of a business in condensate trade today. We are bringing in barrels from the United States and from elsewhere by a rail car. We do move significant amount of condensate around by truck. And we are obviously making condensate at our fracanization [ph] facility at Hardisty. And our reasonably good size put for condensate because of our blending activities at Hardisty and Edmonton and elsewhere. With respect to major investments in infrastructure we are not at that stage yet, we continue to work towards that. 
Steven Paget: Thank you Stew, those are my questions. 
A. Stewart Hanlon: Thanks Steven. 
Operator: Thank you. The next question is from Dirk Lever from AltaCorp. Please go ahead. Your line is open. 
Dirk Lever : Thank you very much and good morning to you. My first question is around the Environmental Services business. We just had Newalta say they are looking to add the trucking fleet. I’ve got to believe that Republic will have the same type of thing. Is the industry changing and how important is having the vertical integration of trucking in Environmental Services in that business area?
Donald A. Fowlis: Well, one of the reasons that we were as confident as we were in making the significant investments that we have in the Environmental Services business is we believe very strongly in the vertical integration model. It was not only the trucks, it is the ability to source barrels by having the capability and the team that can buy emulsion barrels and dry crude barrels at the wellhead. It is also having the marketing expertise to take advantage of these facilities which can be crude oil blending facilities as well. And so, between the trucks and the marketing capability, the Environmental Services capability and then if you look at like I had mentioned, the acquisition of a small company like Littlehawk, all of those things fit together. I wouldn’t be at all surprised to see others try and replicate that model, it works for us. At the end of the day, the environmental services business really -- is a real business. It comes down to making sure that you have the right facilities in the right locations, operating efficiently and so having the trucks is certainly an advantage there as well. 
Dirk Lever: So, do you think that the dynamics of that industry are changing and this is going to be required to maintain market share?
Donald A. Fowlis: That is very difficult to answer. The Environmental Services business has adequate access to trucks today. And so, to the extent that company like Newalta adds their own trucking fleet that is going to displace smaller, independent truckers that are not bringing their barrels to those facilities. So, I wouldn’t say it is changing the nature of the business for the Environmental Services companies, it is probably going to be a bit of threat for independent truck transportation companies that have been providing services to companies like Newalta. 
Dirk Lever: And presumably they would just be converted to a Newalta truck or somebody else and therefore they can guarantee that the product is coming to their facilities as opposed to going to the next one?
A. Stewart Hanlon: Yes, the nature of that business is somewhat -- the operator of these facilities and more importantly the operators of the producers tend to be pretty independent with respect to the truckers that they want to use and the facilities that they want to access. So, having trucks is an advantage but it is not going to be a guarantee that you are going to attract all of those barrels to your own facilities. You have to bring other things to barrel certainly.
Dirk Lever: Okay, and then when you look at your processing business, one has to assume that the frac side of the business is going down but with the lower commodity prices, would you see that demand for like roofing flux and other products probably picks up. I mean if I was going to be paving a driveway I would probably want to do it this summer. So what you may lose on one side you may pick up on the other, so, how do you see the processing business and the margins underlying that?
Donald A. Fowlis: You are correct. The drilling and completion fluids sales we are going to see some negative impact there both in terms of volume as well as in terms of margin. The roofing flux sales, that market is really independent of the energy business and we are selling a very high quality renovation flux to Owens Corning to Tamhotes [ph], GAF, others that are making roofing materials primarily in the United states. So to the extent that we continue to see GDP uptick in the U.S. Obviously we are looking forward to that market remaining strong and perhaps even becoming stronger. With respect to the other asphalt product that we do sell which is of course road asphalt, the smaller -- if you are paving a driveway it probably isn’t going to have a material impact on us but to the extent that the Government of Saskatchewan and potentially Alberta get back into the paving business in a more material way in 2015 would impact us positively. Obviously, those governments are having revenue pressures of their own and so, it remains to be seen just how the tendering season goes and how robust the paving business is within Western Canada in the second and third quarters here.
Dirk Lever: So, do you see the two kind of balancing off or you actually see that the volume knock on the processing side. I guess that is what I am really getting at?
A. Stewart Hanlon: Yeah, I don’t think you will see a volume knock, you will probably see a margin compression. The drilling and completion fluids products that we do sell are very, very high margin products. Roofing flux is a lower sales product. Road asphalt to the extent that markets are robust can’t have very positive margins but probably not enough to offset and so that business will be challenged as we go through the second and third quarters in particular. 
Dirk Lever: Thank you. 
Operator: [Operator Instructions]. We have a follow up question from David Noseworthy from CIBC. Please go ahead. Your line is open. 
David Noseworthy: Thank you. Just wanting to better understand with Polaris already having been expanded, where are the incremental barrels of condensate getting terminal today and at what point does that fill up and then create an opportunity?
A. Stewart Hanlon: Certainly we have seen an expansion of capability around terminals up in the fourth and our view today is that a lot of those barrels are in the industrial heart line situation and area. We have competition from companies like KIA in the Edmonton area and certainly they are moving incremental barrels as well. But really our view point in terms of condensate is that over the next five years that million barrels a day of incremental oil sands production that they talked about, disconnect drive and need necessity for another 200,000 to 300,000 barrels a day of condensate which is essentially a doubling of the available supply within Western Canada today. So condensate for us particularly at Edmonton is positive future story but is not a tremendous -- it hasn’t had that tremendous year-over-year impact for us coming out of 2014 and into 2015.
David Noseworthy: And can you remind us what your plans are for the land purchase Saskatchewan County and the timing of those plans?
A. Stewart Hanlon: We have multiple sort of opportunities under consideration with respect to the land. Really we bought that land for a strategic considerations and strategic future considerations is particularly well suited and situated. Our view is that the Heartland is going to become an increasingly important hub within the energy industry and we just wanted to make sure that we were positioned to take advantage of that. Obviously with the multiple business plans that we’ve got around rail, around trucking, around propane in Environmental Services, etc. there is a number of different uses that we can put that land to and we continue to work on plans that will see us starting to exploit that land. And so just stay tune there is probably more to come in the future. 
David Noseworthy: Okay, thank you very much. 
Operator: Thank you the next question is from [indiscernible]. Please go ahead. Your line is open. 
Unidentified Analyst : Hi Stew, just a couple of quick questions with regards to your crude by rail business, how much are you moving now?
A. Stewart Hanlon: We’re probably not, I probably don’t want to go there in terms of how much is actually moving because we have a consideration with respect to confidentiality around the committed shippers to that facility. What I can tell you is that it’s a 100% contracted on a take a pay basis and so to the extent that volumes don’t move we still get paid for them and so the revenue that we are getting from that facility is based on forward utilization and that’s irrespective of where the volumes move. 
Unidentified Analyst: Okay and is it all primarily access Western blend?
Donald A. Fowlis: Again I am going to sort of not answer that question with respect to what’s moving. Again that would be up to the individual shippers to talk about. 
Unidentified Analyst: Okay and you had talked about a delivered recovery unit or a couple of them, is that still on your radar. 
A. Stewart Hanlon: Yes, absolutely. We continue to believe that in moving the hydrated bitumen if you will out of Western Canada particularly in the rail car makes economic sense. We continue to progress our preliminary engineering around facilities both at Hardisty and Edmonton. We continue to progress discussions with various concerns and sundry potential customers around what level of back stopping would be required for us to proceed to a funding decision on a recovery DIU. So again we are not in a position to announce anything today but we certainly continue to work on that. 
Unidentified Analyst: Okay and one last question, right at the start of this call you had mentioned about commissioning of 500,000 condensate storage tank last month, did I get that right?
A. Stewart Hanlon: We commissioned a 400,000 barrel tanks last month and we are commissioning a 500,000 barrel tank this month. 
Unidentified Analyst: Okay, and that would bring up your total capacity to…?
Donald A. Fowlis: That would bring our capacity to 6 million barrels. And those are crude tanks, I was going to say tanks. 
Unidentified Analyst: Okay, they are crude tanks. Okay, and that would bring your total capacity…?
A. Stewart Hanlon: To 6 million barrels, at Hardisty. 
Unidentified Analyst: Okay, alright. Thanks. That is all that I had. 
A. Stewart Hanlon: Okay, thank you. 
Operator: Thank you. There are no further questions. I would now like to hand the call back to Tammi Price. 
Tammi Price: Thanks again for your interest in Gibson Energy. As mentioned earlier, Cam and I are available after the call if there are more questions. Have a good day, everyone.